Operator: Good morning and welcome to the Dollarama Fourth Quarter and Fiscal 2025 Results Conference Call. Neil Rossy, President and CEO; and Patrick Bui, CFO will make a short presentation, followed by a question-and-answer period open exclusively to financial analysts. The press release, financial statements and management's discussion and analysis are available at dollarama.com and the Investor Relations section as well as on SEDAR+. Before we start, I have been asked by Dollarama to read the following message regarding forward-looking statements. Dollarama's remarks today may contain forward-looking statements about its current and future plans, expectations and intentions, results, levels of activity, performance, goals or achievements and any other future events or developments. Forward-looking statements are based on information currently available to management and on estimates and assumptions made based on factors that management believes are appropriate and reasonable in the circumstances. However, there can be no assurance that such estimates and assumptions will prove to be correct. Many factors could cause actual results, levels of activity, performance, achievements, future events or developments to differ materially from those expressed or implied by forward-looking statements. As a result, Dollarama cannot guarantee that any forward-looking statement will materialize and you are cautioned not to place undue reliance on these forward-looking statements. For additional information on the assumptions and risks, please consult the cautionary statement regarding forward-looking information contained in Dollarama's MD&A dated April 3rd, 2025, available on SEDAR+. Forward-looking statements represent management's expectations as at April 3rd, 2025, and except as may be required by law, Dollarama has no intention and undertakes no obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. I would now like to turn the conference over to Neil Rossy.
Neil Rossy: Thank you, operator, and good morning, everyone. Throughout fiscal 2025, Dollarama was there for Canadians, delivering compelling year-round value across our broad assortment of everyday goods and providing convenience through our growing national store network. This strong execution by all Dollarama teams is reflected in both our fourth quarter and full year financial and operational results. We generated same-store sales growth of 4.9% in Q4, capping off the year on a high note and bringing full year SSS to 4.6%. Q4 SSS growth reflected a positive seasonal performance on top of the sustained demand for consumables from cautious value seeking customers. On the real estate front, we opened 15 net new stores in Q4, bringing our total to 65 for the year. Our store network across Canada at fiscal year-end stood at 1,616 stores. Last quarter, we increased our long-term target in Canada to 2,200 stores by 2034. As we work towards this goal, we expect to generally maintain our historical annual pace of growth, but we will also seize opportunities as they come along. For fiscal 2026, in addition to a strong store pipeline, we secured opportunities to take over leases from retailers exiting the market. As a result, our net new store opening range is between 70 and 80 net new stores. While subject to annual review ahead of setting guidance, we expect to then come back in line with our historical pace of 60 to 70 net new stores. Turning to our capital project, we continue to develop a two-node logistics model to bring even more agility and resilience to our logistics operations through redundancy. Since announcing our plans last quarter, we completed the acquisition of the land for a total cash consideration of $46.7 million. The parcel is located North of Calgary, where we will build a logistics center that integrates distribution and warehousing activities. As a reminder, the addition of a Western Logistics Hub by the end of 2027 will be in complement to our currently centralized Montreal area logistics operations, which continue to run business as usual. The project planning phase is in full swing with permitting and building design well underway and with construction set to begin this summer. We are in the process of finalizing our roadmap through the project commissioning, including the timing of certain expenditures based on design decisions, construction schedule, which we expect to complete in the coming months. In LATAM, Dollarcity had another busy year as the team works towards its recently updated long-term store target of 1,050 stores by 2031 and the current countries of operation. Dollarcity opened an impressive 100 net new stores in calendar 2024, bringing their total number of stores in Colombia, Peru, El Salvador and Guatemala to 632 at year-end. We are very pleased with this strong execution. New stores were primarily opened in Colombia and Peru, a trend which is expected to be maintained this year. Strong execution continues to translate into strong financial performance. Dollarcity is not only able to self-fund its growth in its current countries of operation, it is also generating excess cash that can be returned to its shareholders. Since we increased our equity interest and expanded our partnership with Dollarcity, we have been working diligently to prepare the market for entry into Mexico. As a result of this work, I am pleased that we have been able to accelerate our timeline through this year. We expect to open our first locations in Mexico this summer. Consistent with past practice, we will test our concept first prior to making the call on a full ramp up. Finally, last week, we announced that we entered into a definitive agreement to acquire Australia's largest discount retailer, as we pursue additional opportunities for Dollarama. With this acquisition, we have an opportunity to bring our value proposition to a new market through an at-scale platform and a retail, value retail market with a path for growth. We believe that following the gradual transition of their business to our retail model, which we expect will take upwards of three years, we can unlock their margin and growth potential over the long-term to the benefit of all stakeholders. The transaction is subject to customary conditions, including shareholder and regulatory approvals and is expected to close during the second half of calendar 2025. While we are all looking forward to bringing the TRS team on board later this year, we must let the process follow its course. In the last year, we have made excellent progress advancing our growth plans across multiple platforms, reflecting our conviction in the relevance of our business model across demographics and geographies. Our success in extending our reach, whether in Canada or internationally is made possible by the incredible team we have at all levels. I want to thank everyone at Dollarama and Dollarcity, including every employee on the front lines for doing their part in providing everyday value and convenience to our customers. It's thanks to all contributions, large and small, that we are in the position we are in today and that our long-term growth prospects are so compelling. Certainly, fiscal 2026 is gearing up to bring its fair share of challenges and uncertainty, something the last several years seems to have had in common. The particularity this time around is the unpredictability factor brought on by the current trade environment, coupled with a weakening economic outlook. For our business, the direct impacts of the ongoing trade war are the counter tariffs on a portion of goods we import from the US. It is not an inconsequential impact, but it is, we believe, a manageable one and one our peers are facing as well. As agile retailers and importers, we have tools to navigate this, whether through product substitutions or pricing adjustments where necessary. As a price follower, our objective remains the same, delivering the best year-round and relative value across our broad offering and within our fixed-price points. While customer behavior remains difficult to forecast, our assumption is that consumers will remain cautious on discretionary spending and continue to seek out value in this context. Our focus will be on the disciplined execution of our long-term growth plans and on being proactive as our operating environment evolves. Our value and convenience promise resonates with consumers and we will continue leveraging our retail expertise, sourcing strength and operational know-how to deliver on that value in fiscal 2026. With that, I'll pass it over to Patrick.
Patrick Bui: Thank you, Neil, and good morning, everyone. Let's drill down on our fourth quarter and fiscal 2025 results. On the back of a strong quarterly and annual performance, we have either met or exceeded our guidance across all metrics. Q4 sales, which included an extra week compared to last year, increased by 14.8% year-over-year to nearly $1.9 billion. For fiscal 2025, sales increased by 9.3% to more than $6.4 billion. SSS came in at 4.9% for Q4, representing a two-year stack of 13.6%. While consumables continued to be an important sales driver, holiday and winter seasonal sales gave us an extra lift in Q4. Looking at trends throughout the quarter, sales picked up by early mid-December after a slower November and those positive trends continued through January. This was further supported by two extra Halloween sales days, which fell in Q3 in the prior year. Looking at our performance throughout fiscal 2025, we saw as anticipated, a progressive normalization in SSS trends. Full year SSS came in at 4.6%, resulting in a slight guidance outperformance and a two-year stack of 17.4% growth. Q4 gross margin was 46.8% of sales compared to 46.3% in Q4 of fiscal 2024. The improvement primarily reflects lower logistics costs. Full year gross margin came in at 45.1% of sales compared to 44.5% in fiscal 2024. The improvement was due to lower inbound shipping and logistics costs, resulting in a slight guidance beat here as well. SG&A was 14.7% of sales for Q4 compared to 14.5% in the prior year Q4, reflecting higher store operating costs, partially offset by the positive impact of scaling. SG&A for fiscal 2025 was 14.5% of sales compared to 14.4% for fiscal 2024, impacted by the same factors as the quarter and coming in at the low end of our guidance range. Q4 EBITDA was $670 million, compared to $559 million last year. For the year, EBITDA came in at $2.1 billion, compared to $1.9 billion for fiscal 2024. Diluted EPS increased by 21.7% to $1.40 for the quarter and grew 16.9% to $4.16 for the year. Our share of Dollarcity's net earnings for Q4 amounted to $58 million, compared to $32.8 million last year. The contribution for the full year was $129.9 million, compared to $75.3 million for the same period last year. The 76.8% and 72.5% period-over-period increases, respectively, are primarily attributable to strong operational performance in our increased ownership stake. Dollarcity's results in calendar 2024 were mainly driven by an increase in sales, supported by the growth in total number of stores and continued scaling of the business. This was also supported by a higher gross margin as a percentage of sales from a lower inbound shipping and logistics costs, which was partially offset by slightly higher SG&A costs stemming from increased labor costs. We have also announced this morning that Dollarcity's Board of Directors approved a cash dividend totaling US$62.5 million. Our share corresponded to US$37.6 million or $54.6 million and was received in the first quarter of fiscal 2026. Going forward, dividends are expected to be declared and paid by Dollarcity, twice a year. We will be using our dividend proceeds to fund our share of the Mexico expansion costs over the near-term, required investments, which have also been pulled forward with the acceleration of market entry. As a result, about half of our share of this dividend will be allocated towards Mexico investments. On CapEx for the year, we came in just below the top end of our guidance range at $195.3 million. This number excludes the final land acquisition costs of $46.7 million and an additional $4.9 million that went towards land development costs in the quarter, as we prepare the groundwork for our future Western Logistics Hub. On the NCIB front, we remain active with the repurchase of more than 8.1 million common shares for cancellation through fiscal 2025 for a total cash consideration of nearly $1.1 billion, marking Dollarama's largest annual buyback on record. We also announced today that the Board has approved a 15% increase to our quarterly cash dividend of $10.58 per share. Looking now at our financial guidance and outlook for fiscal 2026. We expect to continue generating consistent annual same-store sales growth given the enduring relevance of our business model and our unique role within the Canadian retail ecosystem. This is despite coming from several years of outsized annual SSS growth, followed by progressive normalization and now having to contend with an unpredictable trend environment and a weak economic context. Factoring that in, we anticipate generating between 3% and 4% SSS growth for fiscal 2026. To achieve this, we will leverage our product sourcing and merchandising expertise supported by regular product refreshes in our multi-price point strategy to deliver value to our customers. On gross margin, as a percentage of sales, we do expect that headwinds will pressure margins compared to last year. As a result, our annual guidance range is between 44.2% and 45.2%. On SG&A, we expect higher labor costs to continue as well as increased store operating costs, including higher curbside recycling costs. Our ongoing efficiency and labor productivity initiatives should help offset those pressures, resulting in an improved guidance range for SG&A as a percentage of sales of 14.2% to 14.7% for fiscal 2026. Looking at Dollarcity, one item of note is the new timeline for Mexico. With market entry happening this year, we will be required to make investments and will incur ramp-up costs. We should expect a loss in the range of roughly US$10 million to US$20 million for fiscal 2026 in Mexico. Turning to CapEx, our fiscal 2026 guidance range of between $185 million and $210 million will go towards new store openings and other transformational capital requirements. The year-over-year increase is primarily a result of a higher number of planned store openings. For the time being, guidance excludes the portion of the $450 million budget estimate for our Western Logistics Hub development that we intend to deploy this fiscal year. We are still in the process of finalizing the plan, specifically the timing of certain significant expenditures. We still expect it to be front loaded, it's just a question of completing that work. We expect to be able to provide more color on logistics CapEx for fiscal 2026, when we release our Q1 results. In terms of returning capital to shareholders, our approach remains unchanged, neither our Logistics Hub project nor our proposed acquisition of TRS is expected to impact our overall strategy. We have sufficient financial flexibility to fund these strategic investments. Supported by our strong cash flow generation, we intend to continue being active on our NCIB program, allocating a portion of cash towards share buybacks, subject to market conditions and to maintain a dividend subject to quarterly approval. While the trade environment remains unpredictable and the economic outlook uncertain, what we do know is that Canadian consumers appreciate and rely on our value and convenience promise. We also have growth plans for each of our platforms. We will continue to execute on these in fiscal 2026 to further strengthen our long-term growth path to the benefit of all stakeholders. With that I'll now turn the call back to the operator for the Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Irene Nattel with RBC Capital Markets. Your line is now open.
Irene Nattel: Good morning, everyone. We may as well start with the, the topic of the day, tariffs. Neil, you said, it's mostly retaliatory tariffs on a selection of goods. Can you give us an idea of sort of which categories or which type of goods specifically and what you see as the magnitude of the headwind be? Thank you.
Neil Rossy: Good morning, Irene. So the majority of the goods are in the consumable area of the business. But as I mentioned, we have tools to navigate this, whether that's through product substitutions or pricing adjustments where it's necessary. We think that consumer confidence will be a major challenge with these tariff discussions while they continue. And while our concept may be more resilient than most, when consumers spend less, they tend to spend less everywhere. So tariff wars are not good for anyone.
Irene Nattel: Very much agree with that last one. Thank you. And then I guess a corollary question and maybe this is for you, Patrick. When we look at your guide for F'26, can you walk through the factors that would influence you coming in at the low end versus the high end? And also just a housekeeping question, the US$10 million to US$20 million loss in Mexico, is that your portion or 100%?
Patrick Bui: Yes. Thank you, Irene. So, if we break it down to the components of the guidance, when we look at SSS, 3% to 4%, I mean, in particular, this year, the level of uncertainty is very high and the picture could change very rapidly. As it stands today, consumer confidence is low and we believe, as Neil just pointed out, it will have an impact on consumer spending. So that's on SSS. Gross margin, I mean, we see more headwinds than tailwinds. We think about a weaker Canadian dollar, we think of higher shipping rates, the risk of continued mix shift and all of this in the context of lower scaling as our SSS is weaker. So we definitely see some headwinds on the gross margin. On SG&A, it's a mixed bag. On the positive side, we're looking for improved store productivity. On the plus and minus side, let's see where minimum wage lands in all the provinces. And certainly there are certain cost items that are continuously increasing at a very high pace. An example of that is funding of recycling program for example. And then the last bit is CapEx. I mean it's really in line with last year. We are guiding towards more net new stores. So it's just a consequence of that. To your second question and thanks for asking for the clarification the US$10 million to US$20 million is for 100% of the operations.
Irene Nattel: Thank you.
Operator: Thank you. Our next question comes from the line of Chris Li with Desjardins. Your line is now open. Chris Li, your line is open. Check your mute button.
Chris Li: Sorry about that. Sorry about that. And yes maybe Neil to start up with another question on tariffs. I know there are lots of moving parts, but I think in the past, you've mentioned a potential benefit for Dollarama is that some of your overseas vendors might increasingly look for opportunities outside of the US, have you seen that yet? And just trying to get a sense of what the potential opportunity or benefit could be for Dollarama, if that trends happen? Thanks.
Neil Rossy: This discussion is somewhat different, because US tariffs will affect mostly consumable products. And those consumable products tend to mostly be national brand products. And those national brand products aren't necessarily easily replaceable with private label products from other countries or from Canada. And so it's not the same scenario as the other discussion that was had in the past.
Chris Li: Okay. How about just maybe I'm not understanding correctly, but how about from products that you source in China, which are, I guess, more general merchandise or seasonal? I mean those products will now be more expensive I guess into the US for those suppliers. So would they see better opportunities to supply to you guys in Canada where there is no change?
Neil Rossy: Certainly, the vendors of the world are very sensitive to challenges that their strong retail partners have. And so, if the Canadian dollar is weaker, if there's higher shipping rates, if the factories are less busy, to your point, those things are always places where the factories will try to offset. Some of those higher costs with better FOBs, but there's only so much somebody can do. And at a certain point, when you get to a certain scale, most of your vendors are working fairly tight to start with, it's not going to be impactful.
Chris Li: Okay. No, that's helpful. Thanks for that. And then maybe a question just on Dollarcity. I know that there's a bit of incremental disclosures with the Q4 results. You guys noted that the sales were up 14.4%. I'm just curious to see if you can tease it up for us like how much of that was from new store openings versus the same-store sales growth?
Patrick Bui: Yes. I'd just say, generally, what we're seeing in Dollarcity is we've mentioned it many times that the trends are very similar to Canada. We've seen continued normalization. We're in an uncertain macroenvironment that impacts consumer behavior. But when you look at what we were able to deliver in Q4, I mean, certainly you would have seen the net new stores at being 100 this year, which is an exceptional result. So a portion of that is obviously impacting the growth. SSS, like I said, it's continuing to be strong, but trending in line with Canada's continued normalization, an uncertain macroenvironment that will we think impact consumer behavior.
Chris Li: Okay. That's great. I'll get back into the queue. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Brian Morrison with TD Cowen. Your line is now open.
Brian Morrison: Thanks very much. Good morning. Maybe for Neil, I guess, what has transpired for you to bring Mexico forward? How many stores of the test concept? What is the first region you're targeting? And how do you plan to see the market in advance?
Neil Rossy: So I always wonder, which answers I'm allowed to say, and not allowed to say for forward-looking statements. But Patrick will cut me off.
Patrick Bui: You go to screen me.
Neil Rossy: Yes, thank you so much. Thank you. You're so generous. So when we make decisions to move things forward, it's really just a question of the speed and efficiency that any given new market allows us to move at. And so in the case of Mexico, the Dollarcity team and its leadership, we're able to organize what we see as our future Logistics Hub as a first phase of logistics for Mexico, decided on which area of the country we would start in, the region we would start in, and then of course, once we decide on the region, because Mexico is a huge country, it's just think coming to Canada, where you're going to start, which province, et cetera to keep some context. And then once you've picked which province you want to start and so to speak you start looking at all the real estate and then the real estate sometimes can be a challenge and so it takes longer and other times some opportunities present themselves rather quickly. And so in this case, the plate, the province, so to speak was chosen. The Logistics Hub is being worked on and was found relatively quickly with a source and a setup and processes that are being worked on as we speak. And the opportunity and a small number of stores was found that, that we're comfortable for the management team that's responsible for that project. And so that's how it ended up moving forward. No more or less complicated than that. It's just a question of how it rolled out. And so it could just as easily have taken longer, but in this case, it rolled out nicely. And so we moved the -- we moved it forward, because we're never setting these dates in stone. These dates are set as a sort of benchmark for what we think typically things take and if they go faster just like our opportunity with Dollarama this year to have a higher number of store openings this year. We don't think that will continue, but if it presents itself, we're going to do what we're supposed to do, which is to do the best we can for our shareholders and open the number of stores that we can, if we think we can open stores that are additive and not just cannibalized.
Brian Morrison: Okay. I appreciate the high level. It sounds like you won't get into the details. That's fair. But maybe on Australia then, I know it's a process, but last week, I took away the message that it's going to take three-plus years to transform the store base to the Dollarama model and the EPS contribution following that close is going to be neutral. If I think forward to that transformation period, is there any reason we shouldn't believe that shared best practices over this transformation could lead to margins such as Dollarcity at an equivalent store based upon completion? And what kind of CapEx will be required per store? And will there be DC and warehousing investment required?
Neil Rossy: So I will let Pat answer some of those questions. This is all a little premature because this thing is waiting on regulatory decisions and we're just hoping the whole thing continues to move in the right direction. But conceptually I will answer the first part of your question, which is, it's not the same as the Dollarcity stores were because this Dollarcity stores were essentially starting greenfield. And in this case, you have 392 existing stores with the existing merchandise, the existing racking, the existing processes, et cetera. And so it's going to be a lot more work to convert all of those things, even if the employee base is capable, even if they're excited, even if they want to do the very best they can as quickly as they can. There's just a lot more to work through. And so it will just take longer. Simply, practically speaking, there's only so many conversions we can do a year, while we are doing everything else. And as you know, we would prefer to go slow and steady and do things properly in everything we do than rush through anything just to tick a box. So it will take the time it takes, and it's our best guess that, that will be somewhere in the three year to four year range, more likely four, by the time the whole thing is completed.
Patrick Bui: And Brian for the other -- your other questions in the question. When you think about capital outlay, we talked about converting the 390 plus stores. So there's definitely CapEx to be invested there. And then you -- we set out a target by 2034. So there will be CapEx for new stores. You could assume it's something in line with what we see here in Canada. There's certainly investments in IT to bring it to the Dollarama standards. And with respect to logistics and so on and so forth, again, it's a little premature where we just announced a transaction, it's not closed. But what we see is that they have a developed logistics network, should we need more capacity, that would be leased, decisions, just like at Dollarcity, decisions to invest capital are only made much later in time once we feel comfortable investing that capital and that's a business case stands on its own.
Brian Morrison: Okay. Thank you, Patrick.
Operator: Thank you. Our next question comes from the line of John Zamparo with Scotiabank. Your line is now open.
John Zamparo: Thank you. Good morning. I wonder if we could talk about behavior of Canadian consumers, particularly recently. Have you noticed any shift in buying behavior or preferences since tariff talk really ramped up in February? And can you share your view on the theme of buying Canadian? Is that providing a list to Dollarama versus peers?
Neil Rossy: I think that the theme is notional to be honest. I can't tell you that in our case that would be something that we've seen. For certain, there is a sentiment to want to do that. And as a Canadian company founded in Quebec and whose business is run entirely the Canadian business out of Canada and with the management team that's all Canadian. And I think that Canadians should be proud of the fact that Dollarama is in all Canadian business founded and run by Canadians, but we're not trying to somebody told me a new saying, maple glaze, the Dollarama brand too much. The reality is, we try to provide great value every day of the year with or without tariff wars. And I would think that Canadians are proud of the fact that Dollarama is a Canadian business to start with.
John Zamparo: Right. Okay. Fair enough. And then a modeling question. You talked about lower logistics costs in FQ4, but also said that inbound shipping costs were negatively impacting the F'26 guide. Can you add a bit more color on what you're seeing on those factors both in the quarter and subsequent to it?
Patrick Bui: Yes. So in Q4, logistics costs were lower. I mean, it's just a function of everything working, running really smoothly. So we didn't enter into any friction costs. I mean certainly as well scaling with the SSS at 4.9% is helpful in Q4 and we've benefited from contract level, which were low. As we move into FY'26, we're on to another contract recently, prices, spot rates have been increased. The spot market is higher than it was. And so the new rates as we look into FY'26 are higher than the rates we locked in FY'25. And so certainly when you think overall for gross margins I mentioned a few elements that are headwinds. We talked about weaker Canadian dollar. I talked about this higher shipping rate. We need to factor in a continued mix-shift potentially. And even though Q4 we saw a benefit from higher SSS and scaling the gross margins, as you look into FY'26, our guide on SSS is 3% to 4%. So there would be less benefit from scaling on the gross margin because of that.
John Zamparo: Okay. That's helpful. Thank you very much. I'll pass it on.
Operator: Thank you. Our next question comes from the line of Vishal Shreedhar with National Bank. Your line is now open.
Vishal Shreedhar: Hi. Thanks for taking my question. I wanted to get your thoughts on further acquisition opportunities and what is management's impetus right now? Obviously a lot going on, but should we be thinking that management is continuing to explore future opportunities or is it pause for now?
Neil Rossy: For the time being, I think you should think that management feels like it has the right number of projects on its plate with regards to international expansion. And that we want to make sure that the ones that we've engaged in sort of get their routes planted and we see how those countries start performing. And in the future, if everything goes well, it will be management's responsibility to continue to look for other adventures so to speak. But for the moment, you should think of us as being satisfied with the number of projects we have on our plate.
Vishal Shreedhar: Okay. And with respect to the outlook and the same-store sales guidance, just wanted to get a little bit more color on that. So Q4 was strong, but there was some transient events or call it events that which may have lifted the comp including the tax holiday and the Halloween shift. And the indication was January is continuing along at a similar pattern, but notwithstanding the comp expectation is within the 3% to 4%, which is below kind of Dollarama's historical level. So as I square those altogether, should I think that management anticipates comps to kind of fade towards the back end of the year associated with economic weakness? Is that the thinking?
Patrick Bui: Vishal, like I mentioned, the picture can change very rapidly. Even though December and January were on a good pace, consumer confidence plummeted with all the trade rhetoric. And so things did turn very quickly.
Vishal Shreedhar: Okay. All right. Thank you for that.
Operator: Thank you. Our next question comes from the line of Mark Petrie with CIBC. Your line is now open.
Mark Petrie: Yes, thanks. Good morning. I just wanted to follow up on a couple of the topics. First, on sales mix. It sounds like there's some different moving parts here. And in Q4, specifically, you got better growth from the seasonal categories than you had been previously I think. So can you just clarify for Q4, was sales mix a positive or a negative effect?
Patrick Bui: I mean, generally, as you would know, generally speaking, the mix improves is positive in Q4. Consumables were still strong. It's the same thesis as the prior quarters. And the only thing that we're adding to that is, whereas seasonal was somewhat of a drag on our SSS, Q4, when you take seasonal as a whole, it was positive.
Mark Petrie: Okay. And then so your expectation, what's embedded in the outlook is that consumables continue to outperform and sales mix is a headwind on gross margin for fiscal '26?
Patrick Bui: Yes, that's an assumption. That's our assumption.
Mark Petrie: Yes, okay. Okay. Understood. Thank you. And then I appreciate the additional disclosure for Dollarcity. I'm wondering if you can just give us a sense of a couple of things maybe what sort of how the sales growth kind of played out through fiscal '25 sort of Q1 to Q3, not necessarily specific numbers, if you don't want to share them, but what that sort of cadence was? And then also just related to that, how do store, what's the store ramp up for Dollarcity stores look like? I assume it's a little slower than Dollarama just given the stage and maturity of the brand, but curious if you can share anything on that.
Patrick Bui: Yes. So on the first part sales cadence. I mean the trend is quite similar to Canada in many respects. We started off from a quite high base same as Canada. And as we advance through the year, we saw this notion of normalization both in Canada and frankly in all of our countries of operations in Latin America. Q3 in many respects was softer in Canada was the same case in Latin America. In Q4, we saw a rebound in our case and in Latin America as well. So we're happy to see that these trends are quite consistent across our different countries. To your second question on the ramp up of the stores. I mean, once again, I mean, the operating model and the recipe that is applied to Dollarcity is the same here as in Canada. And so generally speaking, we see a ramp up quite similar to here in Canada.
Mark Petrie: Yes, okay. Appreciate that. Thank you. All the best.
Operator: Thank you. Our next question comes from the line of Luke Hannan with Canaccord Genuity. Your line is now open.
Luke Hannan: Thanks. Good morning, everyone. I want to follow-up. You mentioned the net new store openings that you have for the year slightly above what you're and that's a function of taking over some leases from folks who have exited the market. So I mean going forward is it still going to be your MO to be, I guess, flexible in that regard? In other words, let's say, later this year, the backdrop gets a little less favorable for other retailers in the market they decide to leave. Could we expect some flexibility in your store openings for the year?
Neil Rossy: The answer is yes. You can expect flexibility. But I would also tell you that the answer has been, yes, for the last six years or seven years and for the last six years or seven years, we've opened 65 stores. So it doesn't come around very often, but we are always open to that flexibility.
Luke Hannan: Okay. Understood. Thanks. And then my second question is just on the store concepts rather to be rolled out in Mexico. I mean, overall, what relative maybe to the rest of your Latin American footprint, what should we be thinking about as far as the major points or concepts that you're going to be testing in these stores that could be different? I mean I imagine assortment obviously is going to be a key one. But I mean what else are going to be sort of the things sort of the milestones that you're looking for to ensure everything is rolling as planned?
Neil Rossy: I think you'd be surprised by how similar they are, in fact, to Canada. The notion of tropicalizing the assortment and a local product is certainly something we're sensitive too, but the reality is it still represents a very small percentage of the net difference between the stores in Central and South America and Canada. And the vast majority of the goods are simply consumer goods that people everywhere on the planet consume. And so you won't see any Canada or Quebec souvenir T-shirts in those shops, but you'll certainly see the vast majority of our assortment. And you may see a tortilla press there that you won't see in the vast majority of our stores in Canada. But I mean really it is a very small percentage. You should think that those stores as the current Dollarcity stores do are highly reflective of the feel, the look and the shop of a Dollarama.
Luke Hannan: Okay. Appreciate it. Thank you.
Neil Rossy: Thank you.
Operator: Thank you. Our next question comes from the line of Edward Kelly with Wells Fargo. Your line is now open.
Edward Kelly: Yes, hi. Good morning, everyone. Maybe your gross margin over the last year has been a bit lumpier, I guess, thinking about the year-over-year change each quarter. Any help on the cadence of the gross margin in '25? And how we should be thinking about the trend here?
Patrick Bui: Yes. I'm sympathetic to that. I mean, it's not very easy to anticipate the cadence. There's a lot of timing shift that is impossible to predict. I think at the base as a canvas, the sales mix, certain quarters are higher seasonal in nature, but we can't predict the lumpiness and the timing of merchandise flowing through the network. It's something that we also see not a year, certainly not a year in advance.
Edward Kelly: Okay. And as it pertains to the tariffs, what's in guidance in terms of mitigation? I mean are you assuming like full mitigation, full pass through of pricing related to the headwind?
Patrick Bui: We're factoring in some impact. Like Neil mentioned, it's not an inconsequential number. In there, we do assume that we will mitigate a portion of it. And another portion of it will, maybe be a negative impact on our gross margins, which also explains the lower guide that you're seeing as compared to what we've achieved in FY'25.
Edward Kelly: Okay. And then just last question for you on Dollarcity. I mean is the best way to model Dollarcity sort of like what we think more normalized growth would be in the contribution? And then subtract like your share of the US$10 million to US$20 million from that? And is that more back half weighted?
Patrick Bui: That's, I mean, if I were to model it, that would be exactly the way. I would look at the base business and there's a notion of normalization. And then we provided clarity on what the Mexico part will have as a negative impact this year. Given the fact that we're opening stores in the second half of the year, some costs may be heavier in the second half, although as we speak, we're already incurring some costs. So, yes, back half, but we are already incurring costs as we speak.
Edward Kelly: Okay. Thank you.
Patrick Bui: Perfect.
Operator: Thank you. Our next question comes from the line of Tamy Chen with BMO Capital Markets. Your line is now open.
Tamy Chen: Hi. Thank you. Most of my questions have been answered. I just have one quick clarification. Just Patrick going back to the ramp up costs in Mexico for Dollarcity. So for your fiscal '26, it's the US$10 million to US$20 million. Again I just want to confirm when you say 100% on the Ops, you mean this is all on Dollarcity's P&L. And so whatever we're modeling for Dollarcity based business, we should assume an increase I guess in the operating expenses by this amount. Is that the right way to think about it?
Patrick Bui: The answer is no. So the US$10 million to US$20 million is the loss for 100% of Mexico. And so considering we own 80% of this venture, we would take 80% of these losses. So obviously, that's the US, take 80% of that, convert it to Canadian, and that would be included in our equity pickup line. Is that clear, Tamy?
Tamy Chen: Right. Okay. That's clear. Thanks for that. That was it from me. Thank you.
Operator: Thank you. Our next question comes from the line of Mark Carden with UBS. Your line is now open.
Mark Carden: Good morning. Thanks so much for taking the questions. So to start, you talked about some of the macro challenges impacting your outlook. How are you thinking about the impacts of lower immigration in the year ahead? And are you expecting for that to be much of a material headwind?
Neil Rossy: No, we don't think that will be much of a material headwind to be honest.
Mark Carden: Okay. Great. And then as a follow-up, just how are you thinking about the potential impacts from Walmart accelerating its store growth in the region? And does faster growth in that retailer have much of an impact at all on how you're approaching real estate selection?
Neil Rossy: We always are focused on Dollarama and Dollarama's opportunities to grow our store network and be as competitive with a relative value that benefits our customers as much as possible. Our competitors and the rest of the retailers in the Canadian market will always have that same responsibility to their shareholders and we understand that that's the way it's going to work. While we feel that every retailer is our competition and we're very sensitive to everyone's relative value, when other retailers in our market expand more quickly or not, it does not change our strategy.
Mark Carden: Great. Thanks so much. Good luck.
Neil Rossy: Thank you.
Operator: Thank you. And I'm currently showing no further questions at this time. Thank you all for your participation. This does conclude today's conference call. You may now disconnect.